Executives: Julie Zhu - Investor Relations Zhiwei Zhao - Chairman and CEO Jeff Wang - Director and CFO David Tan - Vice President of Strategy and Finance
Operator: Good day everyone and welcome to China Finance Online's First Quarter 2015 Earnings Conference Call. At this time all participants are in a listen-only mode. We'll be facilitating a question-and-answer session towards the end of this conference call. At this time I would like to turn the call over to Ms. Julie Zhu, please go ahead.
Julie Zhu: Thank you operator, welcome to China Finance Online first quarter 2015 earnings conference call. With us today are Mr. Zhiwei Zhao, Chairman and CEO; Mr. Jeff Wang, Director and CFO; and Mr. David Tan, Vice President of Strategy and Finance.  Before we begin, I'll remind all listeners that throughout this call we may present statements that may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. The words believe, estimate, plans, expect, anticipate, project, target, optimistic, intend, aim, future, will or similar expressions are intended to identify forward-looking statements. All statements other than historical facts may be deemed forward-looking statements. These forward-looking statements are based on current expectations or beliefs including but not limited to statements concerning China Finance Online's operation, financial performance and condition.  China Finance Online cautions that these statements by their nature involve risks and uncertainties and actual results may differ materially depending on a variety of important factors, including those discussed in China Finance Online's reported filings with the Securities and Exchange Commission from time to time. China Finance Online specifically disclaims any obligation to update the forward-looking information in the future. At this time I would now like to turn the conference call over to Mr. Zhiwei Zhao, Chairman and CEO of China Finance Online for prepared remarks.
Zhiwei Zhao: Good day everyone, I am the Chairman and CEO of China Finance Online, Zhiwei Zhao. After six years of sluggishness, Chinese stock markets staged a strong come back with representing liquidity increase in the first half year of 2015. We are pleased to see our mobile application, Investment Masters, iTouGu, is gaining traction and experienced robust growth in both membership enrollment programs and user traffic. We launched the updated version 2.0 of iTouGu in early May. The app download and membership registrations have experienced strong growth. In May and June there were over 100,000 unique member registrations. iTouGu has not only started to win hearts of our users but also boosted our confidence in becoming an innovation leader in Chinese burgeoning internet finance sector. Second quarter was an improved quarter for us. Although the Chinese stock markets demonstrated unusual volatility since the second half of June, as we have more brokerage firms, more retail investors and more investment process on iTouGu. Our strategy of forming a one-stop marketplace for retail investors starts to take shape. We continue to remain confident in a long-term prospect of becoming a one-stop financial product and service provider in China and making investment easier for our clients and users. With that, I now turn the call to our CFO Jeff Wang to go over our first quarter financials. Thank you.
Jeff Wang: Thank you, Zhiwei. First of all let me review our first quarter 2015 financial results. Please note that all financial numbers are presented in U.S. dollars and rounded to one decimal point for approximation. Net revenues for first quarter of 2015 were $13.7 million a decrease of 41% from $23.2 million for the corresponding period in 2014. The Company's net revenues are categorized under: (a) revenues from financial services, which include brokerage-related and precious metals trading services, (b) revenues from financial information and advisory business, which include subscription services from individual and institutional customers, and (c) revenues from advertising services. During the first quarter of 2015, revenues from financial services, financial information and advisory business and advertising services contributed 69%, 15% and 16% of our net revenues respectively compared with 78%, 14%, and 8% respectively for the corresponding period in 2014. Revenues from financial services were $9.5 million, a decrease of 47% from $18 million in the first quarter of 2014 and a decrease of 28% from $13.3 million in the fourth quarter of 2014. As iTouGu business is still in development stage, the Company plans to continue to invest to grow its user base before engaging actions on monetization. The decrease in precious metal trading service was largely due to the changing market conditions in China. Revenues from financial information and advisory business were $2.2 million, a decrease of 32% from $3.2 million in the first quarter of 2014 and a decrease of 12% from $2.5 million in the fourth quarter of 2014. Revenues from advertising were $2 million, an increase of 11% from $1.8 million in the first quarter of 2014 and a decrease of 30% from $2.9 million in the fourth quarter of 2014.  The company expects an improved second quarter with the net revenue around $22 million, an increase of 7% from $20.6 million for the corresponding period in 2014, an increase of 61% from $13.7 million in first quarter of 2015. Gross profit was $10.3 million, a decrease of 42% from $17.8 million in the first quarter of 2014, a decrease of 29% from $14.4 million in the fourth quarter of 2014.  Gross margin in the first quarter of 2015 was 75% compared with 76.8% in the first quarter for 2014 and 76.6% in the fourth quarter for 2014. General and administrative expenses were $3 million, a decrease of 27% from $4 million in the first quarter of 2014 and a decrease of 11% from $3.3 million in the fourth quarter of 2014. Sales and marketing expenses were $8.1 million, a decrease of 33% from $12.1 million in the first quarter of 2014, primarily due to lower marketing expenses and the sales commissions, a decrease of 16% from $9.7 million in the fourth quarter of 2014. Research and development expenses were $2.8 million, an increase of 10% from $2.6 million in the first quarter of 2014 and a decrease of 17% from $3.4 million in the fourth quarter for 2014. The Company expects to continue to invest in its iTouGu mobile platform to achieve the Company's long term strategic plan of providing retail investors one-stop solutions for their investment needs. Loss from operations was $3.5 million, compared with a loss of $0.6 million in the first quarter of 2014 and a loss of $1.8 million in the fourth quarter of 2014. Net loss attributable to China Finance Online was $1.3 million, compared with a loss of $2 million in the first quarter of 2014 and a net income of $3.6 million in the fourth quarter of 2014. Fully diluted loss per ADS was $0.06 for the first quarter of 2015, compared with a loss of $0.09 for the first quarter of 2014. Basic and diluted weighted average number of ADS for the first quarter of 2015 were 22.1 million. Each ADS represents five ordinary shares of the Company. As of March 31, 2015, total cash-and-cash equivalents were $17.2 million, compared with $32.5 million as of December 31, 2014. Total shareholders' equity of China Finance Online was $63.3 million as of March 31, 2015. With that operator we’re ready to begin the Q&A session.
Julie Zhu: Thank you all for participating in this earnings call and webcast. We look forward to speaking with you again.